Operator: Ladies and gentlemen, welcome and thank you for joining the SMA 9 Months Financial figures for 2024. [Operator Instructions]. I would now like to turn the conference over to Barbara Gregor, CFO. Please go ahead.
Barbara Gregor: Thank you, operator, and welcome, everyone. We very much appreciate that you are taking the time for this investor and analyst call on our 9 months 2024 results. Today, my colleague and SMA's CEO, Dr. Jurgen Reinert, joins to provide details on our transformation and restructuring program. Welcome to the call, Jurgen. This conference call is scheduled for up to 60 minutes and will be recorded. After the management presentation, we will be happy to answer your questions. Today's presentation is available on our Investor Relations website. The replay will also be available on the Investor Relations website shortly. Our agenda for today. First, I will give you a review of our 9 months figures. After that, Jurgen will talk about the most important elements of our restructuring and transformation program. Last but not least, we will have a look on our adjusted outlook for financial year 2024. I expect the presentation part of the call to last about 30 minutes. After the presentation, we are happy to answer your questions. I refer to our disclaimer on Page #2. Let's move to the following page, summary of key financials. Group sales reached about €1.1 billion and were below last year with €1.3 billion in the first 9 months. Large Scale continues to perform strongly, while Home and C&I revenues are still affected by the continuing market weakness. I will provide more insights on the individual segments in a moment. EBITDA came in at €84 million after €231 million in the first 9 months 2023. Free cash flow of minus €220 million, resulting from an increase of net working capital related to the reduced sales in Home and C&I and order backlog stood at €1.4 billion per end of September. Let's move to the Page #5, sales by region and by segment. On the left-hand side, you can see that EMEA is still our biggest region, but came down to 50% from 72% last year due to the soft sales development in Home and C&I from January to September. Americas revenue share increased from 22% to 41%, mainly driven by the Large Scale segment. The Large Scale segment remains the strongest in this region with more than 53%. The APAC region's share increased from 6% to 9%, also from strong growth of the large-scale business. Here, Australia again showed a very strong and positive development. The top 3 markets for SMA Group in the first 9 months were U.S., Germany and Australia. Now let me walk you through the sales per segment on the right side of the slide. As you all know, the sales development in Home and C&I is still driven by a delayed increase in order intake due to the slower-than-expected reduction of inventories at the distributors and installers. Additionally, lower electricity prices and still high interest rates led to postponement in investments. Further, the overcapacity of products and price pressure from Asian players are determining the current market environment. Against this backdrop, revenues in Home segment decreased by 70% from €486 million last year to €147 million at the end of September. The segment's share of total sales thus came down to 40% compared to 36% in the first 9 months of 2023. EMEA remained the biggest region for the segment. C&I achieved €149 million compared to €334 million in the first 9 months of last year. EMEA also remained the strongest region for this segment with 76% share of the total revenues. Large Scale again showed a very strong revenue development from €518 million in 2023 to €764 million end of September this year. Americas remains the strongest region, making up to 43% of the segment sales. As expected, the strong project pipeline buildup since H2 of last year is still being realized in our revenues. Now let me provide you with some more information on the first 9 months profitability. Profitability of the group was affected by product mix, lower utilization of production capacities as well as increased cost factors, including effects from inflation. So that EBITDA came in with €84 million compared to €231 million in last year. EBITDA includes a positive onetime other income, which was booked in Q1 for the sale of SMA elexon stakes in the amount of €19 million. In addition, SMA Altenso GmbH completed a sale of a project entity in September. The contribution to earnings from the sale recognized in other operating income amounted to a figure in the low double-digit million euro range. EBITDA margin reached 8% compared to 17% last year, where last year's margin was strongly influenced by a positive product mix and lower operating costs. With about €38 million, depreciation was above last year's level of €30 million, mainly as a result of amortization of intangible R&D assets from our new product platforms. Now let's have a look at the segments in detail. Due to the lower sales and price level, the reduced utilization and the corresponding lack of coverage of fixed cost, the EBIT for Home segment amounted to minus €47 million compared to €137 million last year. And C&I came in at minus €77 million versus €16 million in 2023. And thus, both were significantly below the value of the previous year. Our Large Scale segment showed the biggest earnings improvement in the first 9 months of 2024, reaching €154 million compared to €47 million in 2023. The increase in sales and the associated fixed cost digression combined with a profitable product mix contributed to this very positive margin development. Thus, EBIT margin increased to 20% after 9% last year. The overall EBIT margin for SMA Group amounted to 4% compared to 15% in 2023. Now I will move to the balance sheet and net working capital development on the next slide. Net working capital, which is shown on the top of the left page, reached €584 million and is above the 2023 year-end figures of €392 million, but stable compared to Q2 2024. This leads to a net working capital ratio of 36%. Let me explain the net working capital development. Inventories end of 2023 were at €559 million and increased in the first 9 months to €746 million due to the necessary inventory increase for the fast-growing Large Scale & Project Solutions segment. Additionally, the development is also resulting from purchasing commitments made last year for home and C&I, which are above our current demand after adopting the planning given the high inventory level on the customer side. As already explained in our call on August 8, we continue to implement measures such as sales activities, including additional bonus programs for our existing and new customers as well as several additional activities to win new customers to reduce the inventories for finished products and raw materials relating to home and C&I segments to free up cash. Trade receivables decreased in line with the lower revenues. Trade payables also decreased compared to year-end, also reflecting our lower purchasing volume for Home and C&I. Advanced payments received from our customers increased compared to year-end 2023, in line with the strong performance of our Large Scale segment. Net cash came down from €283 million end of 2023 to €45 million, mainly as a result of the buildup of net working capital in the first 9 months. Now let's have a look on the group balance sheet on the right side of the page. And as I have already explained the change in net working capital position, I will now focus on the major changes in the other balance sheet positions. As I just explained the change in net cash, I will start explaining the change in the total cash and financial liabilities. In order to ensure that we are constantly sufficient cash for running our operational activities, we have utilized €145 million from our revolving credit facility, which we negotiated with our banks last year as short-term financing for changes in net working capital, so exactly for our current situation. You find this under financial liabilities in our balance sheet. And this also explains the difference between our net cash of €45 million and our total cash of €191 million. Regarding the other balance sheet items, noncurrent assets increased to €482 million, mainly as a result of ongoing investments into our product pipeline in the form of capitalized R&D project costs. Shareholders' equity increased from €686 million to €703 million as per our net profit in the first 9 months of the year. Provisions decreased from €201 million at the end of last year to €172 million, mainly as a result of the payment of 2023 performance-related bonuses in the second quarter. Other liabilities increased slightly to €449 million due to the higher advanced customer payments and customer bonuses resulting from our sales initiatives. That concludes my explanation of the balance sheet. Let's now have a look at our summary of cash flow on the next slide. In the reporting period, gross cash flow came in at €53 million and compared to €253 million in the first 9 months of 2023 as our operating result was below the extraordinary level of last year. As a result of the lower gross cash flow and the increase of net working capital, cash flow from operating activities amounted to minus €167 million compared to plus €230 million last year. The group invested €72 million in net CapEx after 9 months, which mainly composed of investments in our product portfolio, including capitalized R&D project costs and investments into fixed assets. The increased level of investment spending was mainly related to our new platform in Large Scale and Project Solutions, which also included the expansion of our product capacities and capabilities here in Germany. Considering all these effects, our free cash flow decreased from €79 million last year to minus €220 million in the first 9 months of 2024, mainly from higher net working capital. Looking at the left side of the slide, you see that our order backlog reached a level of about €1.4 billion at the end of September 2024. Product order backlog stood at €1.1 billion. On the right side of the page, you can see that our large-scale product order backlog remains very strong with nearly €1 billion, followed by C&I with about €64 million and Home with €49 million. For the group in total, order intake in Q3 was higher than Q2, mainly driven by an even strong development in the Large Scale segment. Order intake for Home and C&I remains very soft and the market environment in Home and C&I will remain challenging also in the next month. Therefore, we do not expect an uplift in order intake before the second half of 2025. This is it for the moment from my side, and I would like now hand over to Jurgen for the restructuring and transformation program, which we have initiated in September.
Jurgen Reinert: Thank you, Barbara. A warm welcome also from my side. Now that Barbara has reported on the 9 months figures, I would like to take this opportunity to say a few words about SMA's restructuring and transformation program. Despite a very successful 2023, 2024 has proven to be a more difficult year and SMA's outlook for the years '25 and beyond is not quite as positive. 2023 has been extraordinarily successful. This year, we are facing a general economic turndown in our core markets and industry-specific challenges. These challenges are not only affecting SMA but all our competitors right now. And as you are well aware, some of our competitors have been hit very hard in the last months. Whilst the large-scale segment, including daughter company Altenzo, is continuing to develop very successfully, sales in the segments Home and Commercial and Industrial have declined significantly over the course of 2024. We and all of our peers have previously thought that this was a temporary phenomenon, but have now realized that there is a more underlying structural change in the market, which will likely not blow over quickly. In the light of these changes, we initiated a company-wide restructuring and transformation program in September, focusing on the years '24 until 2026. This program is now being implemented in a structured way across the whole company. The goal of the program is to significantly reduce costs, improve our cash situation and make SMA's structure sustainable, future-proof and successful in a changed environment in line with the new challenges. An important aspect in this is to implement the long-term strategic vision for the company and grow with an even better performance portfolio, a new market approach and a strong service and quality promise. The program works along 4 guidelines. Firstly, development of measures to improve cost efficiency and to reduce liquidity needs. Secondly, increasing agility in service delivery to quickly and efficiently respond to volume and mix fluctuations. Thirdly, establishment of an organizational structure and culture that ensures comprehensive accountability. And fourthly, development and implementation of strategies and measures to ensure the company's long-term competitiveness and sustainability. However, our first focus and priority right now are to get SMA back on track financially. That means that we have initiated strict cost savings measures aiming to realize a potential of €150 million to €200 million. This potential includes changes in SMA's current portfolio and business model. At the same time, we are focusing on the future of SMA and our portfolio. We have successfully completed the baseline in September and are now in the middle of Phase 2 of the program where detailed restructuring and transformation concept is being worked out. The second phase will be concluded in December to enable to start of a new and improved organization in Q1 2025. One part of the transformation is to have a very close look at how our segments Home and C&I are currently set up. Hopefully will continue and further develop the Large Scale segment and see great potential here. Home and C&I have shown to struggle with a cost base that is too high for the expected sales. The ongoing restructuring work includes on a company level, the introduction of a new operating model with an end-to-end accountability of the segments, the establishment of a lean corporate center, the exit from unattractive country markets and the analysis and a potential update of our product portfolio and development efforts. For future home and commercial business, the restructuring includes -- and due to the large synergies between the 2 segments, we are investigating the potential to merge Home and C&I into one segment, pending on codetermination process here in the company. Rightsizing along all business functions, and we will analyze and potentially consolidate the staff for the 2 segments, which includes a leaner headquarter and the option to transfer transactional services into a shared service center. In parallel, we will start a comprehensive transformation program mid-2025 that will ensure SMA's future viability by transforming the company into a prime system player in core markets and establishing a flexible and competitive business model. The Large Scale segment will continue and accelerate its successful path by ensuring of long-term differentiation and sustainable profitable growth and strengthening of service business in North America. Whilst further developing the position as a system and solution provider, additional potential for flexibilization and efficiency is going to be thoroughly investigated. Given a possible merger and other efficiency effects, but also the investigation of our development and production footprint, we are planning for staff reductions of up to 1,100 FTE globally, thereof approximately 2/3 in Germany. Some of these needed restructuring reductions have already been started or implemented such as the termination of time limited contracts or layoffs in the subsidiaries. In all of these efforts, our long-term strategy and vision remain unchanged. SMA is positioning itself to be a leading global specialist in photovoltaic systems and solution technology. And in the future, we have a diversified business focusing on energy systems in the residential and commercial markets and on energy solutions in the utility-scale markets. We will drive sustainable profitable growth by leveraging its innovation capabilities. We differentiate with an integrated system offering and digital services in the residential and commercial markets, and we will ensure competitive energy solutions for Large Scale projects globally. Of course, this is a very intense phase, but we are very optimistic that this restructuring and transformation will set SMA up for success in the coming years. Now I would like to hand back to Barbara for some words on the adjusted outlook for 2024.
Barbara Gregor: Thank you, Jurgen. Let's turn to the last page, our adjusted guidance for 2024. As Jurgen already explained, after this exceptional year, 2023, we are facing challenges, especially in residential and in commercial segments. And we initiated a group-wide restructuring and transformation program with cost savings and also with possible job cuts of about 1,100 full-time positions worldwide. Under these expectations, we had to see what are our savings already and which have been achieved already since September, for example, termination during the probability period as well as at foreign subsidiaries. And workforce reduction measures are still pending on the approval from the employee representatives. But the sustained slowdown in Home and C&I, and initiatives driven for the restructuring are resulting in several one-off effects for this financial year. These include inventory value adjustments as well as restructuring provisions amounting to an estimated effect of around about €100 million to €140 million. And therefore, the Management Board of SMA expects an estimated EBITDA after restructuring of minus €20 million to plus €20 million for the financial year 2024. Due to the market weakness, the group revenues will be slightly adjusted downwards to a range of €1.45 million to €1.5 million. Last but not least, a note for the upcoming events. We will attend the German Equity Forum in Frankfurt on November 25 and preliminary figures for the full year 2024 and guidance 2025 will be released in February 2025. And on March 27, the annual report 2024 will be published combined with an analyst and investor call. With this, I conclude my presentation, and we are happy to take your questions.
Operator: [Operator instructions] And the first question comes from Constantin Hesse from Jefferies.
Constantin Hesse: I have two. So one simple one and one a bit more complicated one. So the first one, if you could please provide us with a breakdown, if you can, on all these different one-offs. So what exactly is provisions? What exactly is the write-off included in the €100 million, €200 million and €40 million? And then the second question. So obviously, look, I don't want you to give guidance or anything. Clearly, I wouldn't ask for that. But I do want to get a bit of a feel for 2025. If we look at -- we've done some channel checking, and it seems that the destocking in residential is far from over. So we've spoken to a few distributors that are still talking about the destocking cycle lasting another 6 to potentially 9 months. So things don't really seem too good on that front. So if you could provide us your view there. And I would love to hear your view as well on the C&I business, but also on how sustainable this current momentum that you have in Large Scale going. So how sustainable really is that? So that's a little bit on the top line, so a bit of your view on the 3 segments. And then also, I want to understand in terms of the cost base for next year, how should we think about these savings being implemented? And how should we think about the cost base next year? Just so we can talk a little bit about your views into next year?
Barbara Gregor: Thank you, Constantin, for your question. Let's start with the one-offs for this financial year. So before any one-off, we currently expect an EBITDA of around about €120 million. This is our current estimation. Then we have to take into consideration provisions on inventory, which we currently estimate between €70 million and €80 million and accruals of around about €40 million to €50 million. So this then impacts our EBITDA, and we will come out with a range of plus €20 million to minus €20 million. Additional to this in the EBIT, we will also calculate on any impairments concerning R&D and also depreciation of fixed assets. And this will then lead to also additional reduction in EBIT of around about €25 million. So these are the current estimations and you have to be aware about the ongoing development and the ongoing negotiation with the representatives, which we have currently started today and with the labor representatives, which is ongoing. And therefore, all these estimations are with a disclaimer that we will come out in the right timeline and with the right result we are currently trying to achieve in our negotiations.
Jurgen Reinert: All right. And Constantin also from my side, just some answers on your questions on 2025. So if we first look at the combination for the distribution, meaning Home and C&I in our case, then you know, of course, that some of that is coming today from the distributors and only a smaller portion is being filled up by us to the distributor as the destocking is still taking place. So we have always thought that once that is depleted, then of course, we will make a jump in revenues due to the fact that then there is a normal buffer at distribution. But as you rightly said, we see this buffer between 6 and 9 months on some products even longer, taking the whole year, depending on product, of course. And that will actually mean that we do not see a big growth, but we also don't see a decline. If I then look at large scale and you asked how sustainable is that momentum, then we are happy with the order intake we have this year. And meaning we see no decline in momentum for Large Scale as we speak. Of course, we cannot fully judge what is going to happen in our biggest market in America with the change of presidency at the beginning of next year. But we anticipate that this will not make a big change directly in the first year at least. So we see a constant to very slight increase in both segments, meaning in the distribution, Home and C&I as well as in Large Scale right now, calculating cautiously with roughly the same revenue, but see a small growth in both of them actually. So this is a rough guidance of what we think for 2025. And as it comes to the cost base, of course, as Barbara said, we have already started with some of that several weeks and sometimes months ago. So we see the cost base already going down, and we will continue the whole of '25. And of course, we would like to get it as early as possible. But for some of those effects, especially on material cost negotiations without having high volume, some of those effects will only come later in the year. And then be effective only in '26 or maybe after the first quarter in '26. So this is a gradual part with, of course, our focus, as you can imagine, that it comes as early as possible. And I must just say that I think we are in a good mode is now. We have a clear picture in front of us. We have a clear target picture and think this will come as we have planned for it and then also, in due time, come back with a guidance for '25.
Constantin Hesse: Okay. Can I just ask one more thing, Jurgen, in terms of large scale, is there any reason to believe -- well, I mean, obviously, it seems like you're going to be running close to €1 billion business next year again in terms of the profitability that you're clearly generating this year, which is clearly very good. Is there any reason to believe why the profitability levels wouldn't be able to be held next year? Like is there any pricing pressure or additional costs coming in the Large Scale side only?
Jurgen Reinert: We can just say we are not expecting any huge differences. Of course, there are some markets that are getting more tough, we have the situation that battery prices are fluctuating. But on the other hand, as you know, of course, we are already quite well booked for the next year with prices that have been fixed. So I would say that it cannot be a huge deflection in the one or the other direction.
Operator: And the next question comes from Lasse Stueben from Joh. Berenberg
Lasse Stueben: Just a question on sort of how you see working capital developing over the next few quarters. Do you expect the inventory to perhaps reduce just given your comments on Home and C&I, I'd just be interested to hear your thoughts. And then related to that, you mentioned the 70 million to 80 million of inventory write-offs. Are you anticipating there to potentially be more of those just given the further delay in destocking in those markets? And then finally, could you just confirm what's still available in terms of the credit lines and on the RCF?
Barbara Gregor: Thank you, Mr. Stueben. And as you can assume, working capital development is one of my major targets for everyday work currently, and we are focusing also in our new transformation and restructuring program really substantially on the development of cash and net working capital. And we can see that what we have started already months ago now, we will see a slight progress, and we will see increasing progress over the next months. And as we already mentioned, the purchasing volume, which we are currently facing currently depends on purchase orders, which have been ordered 1 or 1.5 years ago under different circumstances. And now we have done a lot of things to negotiate to postpone or to find our other solutions with the incoming material. And now since a few months, we see a slight progress, and we will absolutely see an increasing progress over the next months. So inventory measures are still ongoing and will help to reduce our net working capital. However, the most important focus is really how fast and how far will the destocking at our customer site. As Jurgen already mentioned, we do see slight sales increase, but currently, we do not really see a turnaround in the market, and we expect an order intake increase not before second half of next financial year. So it's more now stopping every incoming material because the outgoing material is still on a very, very low level. But nevertheless, we see that inventory remains on a high level also until middle of next year, but we see already slight progress. And on the other hand, which is then reflected in our RCF, the RCF utilization, as we reported in the Q3 report is at a level of €145 million, and we are currently managing everything with this level of financing, and we currently do not see that there are any necessity to increase this RCF usage. We expect from the transformation and restructuring program that we will be able to reduce the RCF in the line of the next year. Currently, we are planning and also calculating in which quarter, which can be done. So it's too early to give any detailed information, our main target is to reduce the RCF during the last year, latest until end of the year significantly. So this is what we are currently working out together with the finance and controlling team on a week-to-week basis.
Operator: And the next question comes from Sebastian Growe from BNP Paribas
Sebastian Growe: I hope you can hear me well. And I would have a follow-up question to Constantin's question. And that's considering green out related pressure on demand around LSPS, I was really surprised to see that strong order intake in the quarter. So maybe you can walk us a bit through the root cause here and especially also it would be great if you could talk around the pipeline and whether you regard to, say, €300 million, €400 million run rate per quarter as sustainable or if there are any sort of upcoming clouds that we should be aware of? Let's start there.
Jurgen Reinert: Yes. So thank you, Sebastian, for the question. Yes, the order intake is actually higher than in the quarter before, as you noted, and the first time a positive book-to-bill ratio, which also is due to a low sales, of course. But we are very confident that we have a good and strong base of orders coming in and also coming in this month and the next month. So we don't see at this point in time, any trend that is diverting from that totally. Of course, there's always discussions in the different markets, then changes more a little bit to back to PV or more to storage, depending on the prices, et cetera. That is happening. But we are very happy with the run rate on the order intake with the price stability on the order intake. And you were asking about the reasons, but I think that is what we are very proud of because the reasons behind it we see is that we have really positioned ourselves and we're able to position ourselves as the company that knows most about grid forming, grid stability, really making sure that it's not only the product we sell, which is a hardware against a certain price, but the functionality in it that actually makes it possible to really drive these projects successfully for our customers. And that's why we are very happy with the outcome. And also, we are very confident about how it's going to continue. If you just look at the guidance, even if we adapted it a little bit to the lower part, as you, of course, noticed, we are very confident also to have a good Q4 in the segment and in the group in this quarter. So no changes. And the reason is really that we think we are very good position when it comes to grid stability, grid functionality against our competition.
Sebastian Growe: Okay. Sounds good. If we can then move on to free cash flow. And the first one would also be around working capital. I think on the quarter 2 call, Barbara, you mentioned that an €80 million to €100 million working capital release might come through in still '24. How comfortable are you with that statement as of today?
Barbara Gregor: Currently, we are working really hardly to reduce the net working capital. So we stopped everything incoming material for Home and C&I, what is possible. So we do not let any material in, which is not needed for the future. But we had also some negotiation with very old purchasing orders, which we have to handle. So on the other hand, as I already said, the most important aspect is how can top line be increased. We try to reduce net working capital, and we currently see that the best income and the first results from our really deep restructuring project will take the positive efforts in the Q4. So therefore, we expect net working capital reduction and also not only inventories, but also in the terms of our receivables, we see positive results from the project and also payables and advanced payments. Also, the increase in advanced payments is also part of our current negotiation with every of our customers. So we work on every item of the net working capital, and we see that there will be positive results out of this negotiation and out of the restructuring program resulting in a positive development in Q4 and ongoing.
Sebastian Growe: So I take a comment say we should expect that the execution on projects, especially in LSPS should ultimately then lead to a net reduction in inventory. So what you have in terms of procurement commitments to suppliers, et cetera, should be a lower part. So we should walk down from the €470 million or so in the third quarter towards -- sorry, €750 million roughly towards lower levels towards year-end. That is the right understanding, right?
Barbara Gregor: We see very, very strong Q4 sales, especially in our large scale. And we have this year-by-year that the last quarter is the strongest over the financial year. And this is also what we expect from the Large Scale business, that we will see a very strong quarter. And several key large projects are being realized in this quarter, while Home and C&I are expected to stay on the similar level as Q3. So therefore, an inventory reduction is our main target, of course. And however, some purchasing commitments are still there for Home and C&I, but we will do our best to reduce it at the lowest level as possible.
Sebastian Growe: Okay. Understood. And then the last one around the restructuring. So from the earlier answer you gave, I take that the layoff-related cash outflows should be around €40 million, €50 million. You made a reference to an accrual in that amount. So is that understanding correct to start with? And secondly, then should we be aware of any other restructuring-related cash outflows going into, I would assume, mainly '25. And I'm asking this question because you made a relatively, I think, comment, if I may say so, for any restocking at HS and C&I not to kick in before the second half of '25. So ultimately, what is all about is simply if you would, from today's perspective, consider a further cash burn quite likely in '25 and what that might then ultimately do to any refinancing needs?
Jurgen Reinert: Yes. Now, but as you said, and Barbara already explained that we are positive with the inventory level of that we will be able to get that down slowly, but surely, even if something is still coming in, even for Home and C&I. And on the other fronts also, we are positive that we have with this announcement, taken the substantial part of what is needed for the restructuring and that we will be in a good position to take it from there next year and have a business, as you mentioned, that is not really picking up quickly in the first half of next year. That's what we explained already. But anyway that we will, with these restructuring costs of that you rightly mentioned, between €40 million and €50 million, be able to serve the needed cost reduction, and we will try to account for that in this year's accounts.
Barbara Gregor: And our goal is for H1 2025 to work towards a positive cash flow. But however, we currently see that significantly increasing cash flow will happen in the second half of the financial year. So the layoff costs and the layoff cash affected items will be more or less in the first half of the year. This is our current estimation. And as I said, it’s all depending on the workers’ council, and all the negotiation now ongoing, but our current estimation is that the negative cash out from the restructuring will come in the first half of the year. And in the second half of the year, the cash position will then be without this special aspect. And therefore, we will result in a positive cash flow over the next year in total.
Operator: And the next question comes from Jeff Osborne from TD Cowen.
Jeff Osborne: Two quick questions on the timing of the €150 million to €200 million of restructuring -- or sorry, of savings. Is that in 2026, you anticipate achieving that? And then do you have any estimation on what the split is between costs of goods versus the operating expenses?
Jurgen Reinert: Yes. Jeff, we cannot give you the full split down, of course, because these are also, to some part, changing month by month, but we have, of course, a total in this range of €150 million to €200 million. As you have said and can imagine, there is one portion coming from personnel costs. There's one portion coming from material and there's one portion coming from OpEx. We are happy with how OpEx are developing because this is in our own hands. We can do a lot there, and we are doing a lot there, as you can imagine. We will have the parts of the personnel costs, as Barbara said, cash flow-wise coming in next year, of course, because of the fact that, that will happen over the year, even if we try to make most of that in the first half of the year. The third portion that I mentioned, meaning material is the one that is most difficult because, as you can imagine, we can continuously negotiate on prices for incoming goods for Large Scale because we have a good turnover there. But you can imagine not buying anything and not letting anything come in from the supplier side makes it difficult to negotiate on Home and C&I side when it comes to lower cost on incoming goods. So that is the part that will be prepared and will mainly come in late '25, but also in '26. So that's why we say the restructuring is taken over '24 to '26. And of course, we are trying to have most of those parts in '24 and '25 as with personnel costs as well as with OpEx. But some of that will also need to come in '26 because then we only will start ramping up the volume on the procurement again. And then there's one more part, and that is, of course, volume and price that we can look at. Of course, we will do everything to keep the price as much as possible, meaning having a positive outcome against what we have planned. That would be one part. And the last one would be volume where we have calculated, as I said, very cautiously but we'll do everything that it comes out better than we plan. So this is the aspects that we are seeing. OpEx, very heavily on it already successfully as we think, personnel costs being planned. Cash flow will come in the first half of the year then mainly. And material needs to come later, even though we see a part there also and price and volume effects, we will hopefully lift but not calculate with it too much.
Jeff Osborne: That's understandable, Jurgen. I appreciate it. Maybe just the last question. It looks like the capital expenditure budget for the year was cut pretty significantly. So can you just give us an update on the status of the German factory expansion? And I think on prior calls, you had contemplated or considered building a factory in America in light of the election. I assume that is on hold. But can you just give us a sense of what CapEx reduction, how that was achieved? And then how we should think about capital expenditures for 2025?
Jurgen Reinert: Yes. So the CapEx expenditures for the factory, as you can imagine, as it’s really nearing completion, so that is mainly taken in this year. We will be able to reduce the capital expenditures for buildings, et cetera, quite considerably next year. There’s always things that are happening, but it will be getting totally back to normal values. And when it comes to U.S.A., we have decided, as I think we said already, not to build an own factory or a greenfield or a brownfield approach in that sense, but to work together with a partner who is doing contract manufacturing for us. And we will continue that path because of the fact that we want to keep it light on the CapEx and still have the same effects that come from IRA. And with the changes in politics, this is even more confirmed that we want to reap the fruits, but we, on the other hand, we want to make sure that we don’t have too much expenditures on that.
Operator: [Operator Instructions] So it seems there are no further questions at this time. And I would now like to turn the conference back over to Barbara Gregor for any closing remarks.
Barbara Gregor: Thank you for your participation. Thank you for your interest. Thank you for your questions. And please do not hesitate to contact us in case of any further questions. Our Investor Relations team is happy to receive your questions and comments. Thank you very much from Germany. Have a nice evening. Goodbye.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.